Operator: Good day, and welcome to the ONEOK First Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions] Please note, this event is being recorded.
 I would now like to turn the conference over to Andrew Ziola, Vice President of Investor Relations. Please go ahead. 
Andrew Ziola: Thank you, Megan, and welcome to ONEOK's first quarter 2024 earnings call. We issued our earnings release and presentation after the markets closed yesterday, and those materials are on our website. After our prepared remarks, management will be available to take your questions.
 Statements made during this call that might include ONEOK's expectations or predictions should be considered forward-looking statements and are covered by the safe harbor provision of the Securities Acts of 1933 and 1934. Actual results could differ materially from those projected in forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings.
 [Operator Instructions]
 With that, I'll turn the call over to Pierce Norton, President and Chief Executive Officer. Pierce? 
Pierce Norton: Thanks, Andrew. Good morning, everyone, and thank you for joining us.
 On today's call, is Walt Hulse, the Chief Financial Officer, Treasurer and Executive Vice President, Investor Relations and Corporate Development; and Sheridan Swords, Executive Vice President, Commercial Liquids and Natural Gas Gathering and Processing. Also available to answer your questions are Chuck Kelley, Senior Vice President of Natural Gas Pipelines; and Kevin Burdick, our Executive Vice President and Chief Enterprise Services Officer.
 Yesterday, we announced first quarter 2024 earnings and increased our full year 2024 financial guidance. Solid results during the first quarter were supported by higher year-over-year volumes in the Rocky Mountain region and contributions from the Refined Products and Crude segment. The efforts of our employees were highlighted once again as we were able to effectively manage through the winter weather during the quarter. Heating degree days were actually higher than normal in January, but it was the temporary acute cold and excessive wind that caused a deviation from normal operations. Volumes have rebounded across our systems, and we are continuing to see volume trends higher, providing additional confidence in our expectations for the remainder of the year. Our increase to 2024 financial guidance was driven by 2 primary key factors: first, favorable industrial fundamentals across our systems, which is supply and demand, that are contributing to volume growth and providing significant momentum for the remainder of 2024 and into 2025. And second, the continued confidence in our ability to realize meaningful commercial and cost synergies. We remain focused on the integration efforts following the acquisition of Magellan last year, and our management team has spent the past several months meeting with employees and visiting assets across all of our operations. Our employees see the value of our combined businesses and are excited about the opportunities ahead. Through collaboration between business segments and the innovation of our employees, we are on pace to exceed our 2024 synergy goals, while most importantly, putting safety first. We also see growth across our systems from producer productivity, favorable commodity prices and continued demand for our products and services or as we previously mentioned, favorable industrial fundamentals. One potential significant source of future natural gas demand is expected to increase in power generation required to serve AI-driven data centers. ONEOK like other natural gas pipeline operators will play a role. We have already had conversations with several of our large electric power generation customers and power developers, who anticipate the need for additional natural gas transportation to address this future AI data center-related power demand. As the need for future power generation increases, domestic natural gas demand is projected to increase. This is going to affect the entire midstream value chain, and ONEOK is positioned to play a meaningful role. Today, we serve numerous natural gas-fired power plants across our system, and many of those customers are looking to expand, some related to AI and others to address general power demand. We also continue to see supportive demand and fundamentals for the NGLs and refined products across our system. Ethane remains a highly preferred feedstock for the petrochemical facilities, NGL export strengths continue, and a seasonal refined product demand for travel and agriculture is picking up. We remain focused on expanding and extending our systems in ways that align with our customers and the market's needs. ONEOK now larger in scale, will continue to support our efforts to help address domestic and international energy demand, contribute to the energy security of our nation and maintain our critical role in the long-term energy transformation.
 With that, I'll turn the call over to Walt. 
Walter Hulse: Thank you, Pierce. As Pierce mentioned, we increased our 2024 financial guidance expectations. We increased our 2024 net income midpoint to $2.88 billion and increased our adjusted EBITDA midpoint by $75 million to $6.175 billion. This new guidance also brings up the low end of our original range, reflecting the strong fundamentals across our businesses. We remain confident in our synergy expectations. Our updated guidance still assumes we will meet or exceed our midpoint of $175 million in cost and commercial synergies in 2024. We continue to expect that additional annual synergies will meet or exceed $125 million in 2025. Additionally, our total 2024 capital expenditure guidance remains unchanged at $1.75 billion to $1.95 billion.
 Now for a brief overview of our first quarter financial performance. ONEOK's first quarter 2024 net income totaled $639 million or $1.09 per share, and adjusted EBITDA for the period totaled $1.44 billion. Results were driven primarily by higher NGL and natural gas processing volumes in the Rocky Mountain region, increased transportation services in the natural gas pipeline segment and contributions from the refined products and crude segment. We saw higher consolidated operating costs in the quarter, primarily related to the timing of planned maintenance turnarounds, higher property insurance premiums and operational growth. Of note, this was the first quarter the refined products and crude segment was allocated its full share of corporate costs. 
 Therefore, compared with the fourth quarter 2023, we saw an increase in operating costs for that segment and a decrease in operating costs for the other business segments as they received a lower allocation of corporate costs. As of March 31, we had no borrowings outstanding under our $2.5 billion credit agreement and our run rate net debt-to-EBITDA ratio was 3.8x. As it relates to capital allocation, we remain focused on delivering long-term value for our stakeholders through a balanced combination of high-return capital projects, dividend growth, debt reduction and share repurchases. 
 As previously discussed, we continue to see share repurchases as an important part of our capital allocation strategy and remain committed to utilizing our $2 billion share repurchase program over the next 4 years. We have significantly delevered our business in recent years, while still completing high-return capital growth projects and successfully closing a transformational acquisition. We are well positioned to continue returning value to investors through a strategic and balanced capital allocation approach.
 I'll now turn the call over to Sheridan for a commercial update. 
Sheridan Swords: Thank you, Walt. Beginning with the natural gas liquids segment. First quarter NGL volumes increased 12% in the Rocky Mountain region year-over-year, including the effect of the mid-January winter weather. Volumes fully recovered in February and have been continuing to accelerate. April volumes averaged more than 400,000 barrels a day from the region, driven by record propane plus volumes on our system and modest ethane recovery levels. 
 The Elk Creek pipeline expansion remains on track for an early first quarter 2025 completion, increasing ONEOK's total NGL capacity from the basin to 575,000 barrels per day, enabling continued volume growth and providing needed NGL takeaway capacity. Mid-Continent region NGL volumes reflect the effects of first quarter winter weather in a full quarter without the low-margin volumes from the contract expiring in November of 2023. We expect to continue replacing the expired contracts volume with barrels at market-based rates ramping through 2024.
 Y-grade gas to crude ratios remain, making ethane the most preferred feedstock of the petrochemical industry, and ethane exports remain highly utilized. These dynamics could provide tailwinds for ethane recovery throughout the remainder of the year. Our current guidance includes modest incentivized ethane recovery in the Rocky Mountain region.
 Moving on to the Refined Products and Crude segment. We continue to see healthy business fundamentals and consistent performance. First quarter refined product volumes increased compared to the first quarter of 2023. From a liquids blending perspective, volume and margins were in line with our expectations for the quarter. With gasoline and diesel demand typically lower in the first quarter, we expect volumes to ramp in the coming months as we see a pull from agriculture activity and summer driving demand. Refined product volumes will also benefit from our pipeline expansion to El Paso, which is now fully complete. The majority of the 30,000 barrels per day expansion is contracted under firm long-term agreements.
 Moving on to the Natural Gas Gathering and Processing segment. Rocky Mountain region processing volumes increased 9% year-over-year, including the effect of winter weather during the quarter. By the end of January, volumes had recovered to levels achieved prior to the extreme cold. Since then, our process volumes have continued to increase, averaging nearly 1.6 Bcf per day in April. There are currently 38 rigs in the Williston Basin with 20 on our dedicated acreage. We expect additional rigs to return as we are now into spring and for the trend of drilling longer laterals to continue. 
 Stable rig activity and longer laterals coupled with continued strength in our gas to oil ratios and additional producer efficiencies provide a compelling backdrop for significant Rocky Mountain region volume growth in 2024. In the Mid-Continent region, we were currently seeing more than 40 rigs in Oklahoma with 6 operating on our acreage. With current gas prices, we expect producers to continue concentrating activity in the oilier and NGL-rich areas in the region.
 In the Natural Gas Pipelines segment, we benefited from higher equity natural gas sales and increased firm and interruptible transportation in the first quarter. Natural gas storage continues to be in high demand. Our current expansion projects, including reactivating 3 Bcf of previously idled storage in Texas and further expanding our injection capabilities in Oklahoma, enabling us to market an additional 4 Bcf of working capacity. The Texas project will be fully in service in the third quarter of 2024, and the Oklahoma expansion will be completed in the second quarter of 2025. Both projects have firm contracts extending beyond 2030.
 Pierce, that concludes my remarks. 
Pierce Norton: Thank you, Walt and Sheridan. As you have heard, strength across our businesses is indicating a solid 2024 and already providing momentum into 2025. Before we take questions, I want to once again acknowledge our employees for your continued dedication and exceptional performance in the first quarter. Specifically, I'd like to recognize those of you who responded to the winter weather across our operations in January and our employees in Texas and Oklahoma, who were personally affected or [indiscernible] to the Texas panhandle Smokehouse Creek fire in late February and early March. Our focus on reliable and responsible operations and on supporting our communities is particularly highlighted during the events like these. I'm proud to work with individuals and teams who demonstrate a service mentality by being ready and willing to rise to the challenge. We're looking forward to the rest of 2024 and beyond.
 And with that, operator, we are now ready for questions. 
Operator: [Operator Instructions] The first question comes from Jeremy Tonet with JPMorgan. 
Jeremy Tonet: Just want to start off with the guidance increase, if I could, I want to dig into the component pieces there. When you're talking about volumes, it seemed like they rebounded in stronger. Just wondering if you could break down where across the system that is, if that's really the Bakken or other parts of the portfolio, you're seeing better-than-expected strength. And at the same time, you talked about the synergy realization maybe being better than expected or more confidence. And just wondering if you could dig in a little bit more detail on what the component drivers to that are as well? 
Sheridan Swords: Jeremy, this is Sheridan Swords. The first thing we think about volume across our system is a lot of it is coming out of Bakken. We're seeing a strong volume as we come out of winter and with the rigs that we have running, we see that increasing strongly throughout the year. So that gives us a lot of confidence on our volume expectation drains and we'll be more on the higher end of that. We also, in our refined product segment, we're also seeing good volume into the El Paso market as our expansion was completed and came online. 
 And for May, that expansion is already on allocation. So we feel that, that complete expansion and continue to see that go through the remainder of the year. So those are 2 areas where we're really seeing volume increase. As we think about synergies, synergies we've got in this company together and people working together, we are finding more and more synergies out there that we can execute on, and we will continue to see that growth through the remainder of the year, which give us even more momentum as we move into the 2025 time line. The other thing that we have going on is in the first quarter, we also had 2 large planned turnarounds, one in the refined products crude segment at our Corpus Christi terminal and the other one in our NGL segment at the MB-1 fractionator. This was a onetime event that really pushed up our operating cost in the first quarter that we won't see for the remainder of the year. So those are a lot of the things that give us confidence on raising our guidance. 
Jeremy Tonet: Got it. That's helpful there. And then pivoting in your remarks, I think you touched on the potential for data centers to be a tailwind for the business over time, and just want to unpack that a little bit more. Do you see that as kind of a general thing that helps natural gas demand overall, or do you see the potential, I guess, for data centers materializing proximate to your footprint where in Oklahoma, West Texas, what have you, where there could be more, I guess, direct opportunities? 
Pierce Norton: So Jeremy, this is Pierce. So I think it's kind of all of the above. There's -- we -- if you go back the last 20 years, electrical generation load between things that were added as far as devices that you have to charge versus the efficiencies that we got from LED pipes and those kind of things, pretty much offset one another. So it's been really flat for the last 20 years. Kind of for the first time in a couple of decades, we're seeing a lot of momentum for needing more energy for these data centers. And a natural quick solution to that is natural gas. So we do see that, that's going to increase natural demand here specifically over the next half decade here and probably even more. 
 When you look at it, it's yet to be seen which area is actually developed more, which means that you put a data center next to where electricity is already there, and they've got enough capacity to generate the load, or you switch over to putting a data center close to, say, a pipeline where you can literally generate the electricity from a natural gas-fired generation facility, this located right beside the AI data center. So yet to be seen exactly how that comes. We've seen some interest in different areas of our system. And it's something that we're going to continue to focus on and to see just what the pace of that is going to be. But I think it's kind of all of the above. 
Jeremy Tonet: That's helpful. So on that last point, you're in current conversations with potential customers that could be proximate to your assets, I just want to make sure I have that right. 
Pierce Norton: Yes, we are. And whether or not it's proximate to our assets, we serve quite a few utilities. So we've had a lot of calls from utilities as well. It's yet to be seen exactly what kind of infrastructure is going to be needed in both cases. 
Operator: Our next question comes from Spiro Dounis with Citi. 
Spiro Dounis: I wanted to go back to the synergies quickly, if we could. Sheridan, it sounds like in some of your comments there, you're saying you're sort of finding even more as time goes by. And I was wondering if you could tie that back to your prior targets when you talked about $400 million of synergies with upside to $800 million. I think a lot of that was sort of probability-weighted. So I'm curious, are you sort of getting closer to that $800 million number? If you could maybe just provide some examples of where you've been most surprised? 
Sheridan Swords: Yes. Spiro, we are getting more confident in moving up the ladder as we see more opportunities come out there. And we're kind of seeing it all across parts of our business. We're seeing it from as how we optimize our storage, we're seeing it how we are combining the 2 assets to make logistics savings better, we're seeing it as we tie the systems together, how we can demand pull NGLs in the refined products. So we're seeing it across all aspects of our business that we've talked about. 
Spiro Dounis: Great. That's helpful color. Oh, sorry. 
Kevin Burdick: Spiro, this is Kevin. The other thing I'd just add in there is we pull in all these opportunities that Sheridan talked about, not only there, but also we continue to identify opportunities on the G&A side as well from a cost reduction standpoint. When we pull all that in, we prioritize them. We understand what the value is, the timing, any cost, and then we get people assigned to them. And I think it's that transparency and accountability internally that help us get the confidence of what we're looking at and those numbers continue to improve. Spiro, this is -- the only thing is it's a comment of you get what you measure, and we are measuring our synergies. 
Spiro Dounis: Got it. Got it. Helpful. Second question, maybe just turning to CapEx, maybe for you, Walt. Some of your peers have started to provide this sort of normalized CapEx figure that allows them to keep growing with the basin. I guess I'm just curious maybe how we should think about that for ONEOK, especially as we head into 2025 in the first quarter, you've got 3 major projects coming online. It would seem like that CapEx [indiscernible] coming down. So just curious how you guys think about what normal looks like on the CapEx side? 
Walter Hulse: Spiro, I'm not going to go down the 2025 guidance route yet. But I think it's fair to say you've identified directly that we've got 3 decent-sized projects that will all roll off early in 2025. So as we look at CapEx going forward, we have much more manageable, lower capital, very high return opportunities that are presenting themselves. So I think it's fair to say that we would see that trend down. And if you were to look longer term for a kind of sustainable CapEx level, it probably is lower than where we are for 2024. 
Operator: Next question comes from Tristan Richardson with Scotiabank. 
Tristan Richardson: Maybe just a minor one on the guidance increase. Should we think of the small Saddlehorn acquisition as part of that increase in expectations for the year? And if so, maybe kind of what proportion of the guidance increase could we attribute to the acquisition? 
Sheridan Swords: Yes, we did put a little bit of the Saddlehorn increase into our guidance, that was part of it. But it's a small portion. You could see we probably increased and that we'll get from Saddlehorn by about 1/3. 
Tristan Richardson: Appreciate it. 
Walter Hulse: We've known that was coming for a little bit of time. So it's not like that, that was the primary driver of the expansion. It's across -- it's really seeing strength across our entire business. And of course, a little more Saddlehorn doesn't hurt. 
Tristan Richardson: Helpful context. We appreciate it. And then maybe just more of a housekeeping one. How should we think about maybe the corporate cost allocation? You guys noted a $33 million change within refined products crude. Should we think of all of that is attributable to moving the corporate costs around? Or maybe is there a way to think about for the full year '24, maybe what percent of total corporate costs get allocated to the segment just as we think about refined products and crude modeling? 
Walter Hulse: I would look over a couple of quarters to see a trend there as we do that. We're -- this was the first quarter that we allocated corporate costs to that. So surely, we took a look at it, but there could be some other corporate costs in the first quarter that might skew a little bit. So I would look over the next couple of quarters to get a trend, but it will proportionately carry its fair share kind of based on EBITDA contribution. 
Operator: Our next question comes from Michael Blum with Wells Fargo. 
Michael Blum: I wanted to go back to the AI data center discussion a little bit. When you look at your gas pipeline network, how much room is there to expand capacity via compression versus having to actually build new pipe? And then if you were to increase gas pipeline capacity to serve higher power load growth, are there any upstream benefits that you'd also see? 
Charles Kelley: Michael, this is Chuck. As far as capacity adds that we could look at along our footprint. As Pierce mentioned a couple of times here today, we are in conversations with existing customers on our pipes connected to little more than -- I think the number is 40 gas-fired generation facilities today. We're working -- there's about 15 potential projects on our systems today. Not all of those will come to fruition, but the conversations are ongoing and of the 15, we're seeing probably 3 or 4 of those folks saying the demand is derived from the data center. 
 So we are looking at several projects that would add [indiscernible] looping as well as some compression depending where we are on which of our systems, whether it's the interstate up in the upper Midwest in Oklahoma, not necessarily looping but rather some compression projects. So it's kind of an all of the above capacity additions. And I don't recall the second part of your question. 
Michael Blum: Second part was about any upstream benefits. 
Charles Kelley: Upstream. 
Pierce Norton: So Michael, what I would say there is it's going to be a little bit of a longer answer here. But you came at it from the question of what's the capacity of an existing line, and you put more demand on it, and what does that look like. I'll just paint a scenario, which don't take anything from my comments that we're far along in this. But if you were to put a data center in North Dakota, it's a cold weather area. It's very advantageous for data centers, and you connected it, say, to the tailgate of one of the plant. 
 Then you're taking load 24 hours a day, and that's loaded, it frees up on transportation of gas that goes elsewhere out of that basin. We do have space to do that, but that's one way to kind of tamper down maybe a future expansion out of the North Dakota area on the transmission lines, whether or not that WBI, whether or not that be Northern Border, or actually some other generated facility for natural gas electric power generation. So that's just one example of the way I could see that it's kind of a long way of answering your question, but that's what I would see a benefit to the gathering and processing business. 
Michael Blum: Okay. Perfect. And then just wanted to go back on Saddlehorn for a second. I realize it's a small acquisition in the grand scheme of things, but I wonder if you can just talk in terms of strategic rationale for that asset to why you want to own more of it? And just also from a capital allocation perspective, and why that makes sense? 
Sheridan Swords: Michael, this is Sheridan. I think the first thing on why we won't own it. We operate that pipeline. It's coming out of an area that we see growth in crude. In fact, the last couple of months, Saddlehorn has been fully allocated. And the third is, as this was kind of instigated by [indiscernible] that has a lot of connectivity up in the area, and they're seeing a benefit as well, which gives us more confidence that this is a good asset to own more of. 
Operator: Our next question comes from Theresa Chen with Barclays. 
Theresa Chen: In terms of the synergy outlook, just near term, looking at the upcoming maintenance in Wink to Webster, is there a room from a crude oil marketing activity perspective across your assets for additional synergies to capture what would likely be a temporary and volatile [indiscernible] backdrop and using the excess capacity you have on a BridgeTex or maybe Longhorn to small extent. I realize that this does not neatly fit within your 4 categories of synergy buckets, but given that you are a significant market of commodities in general, could this be a source of additional upside? 
Sheridan Swords: Theresa, this is Sheridan. Yes, we do see -- we've always, from the beginning, saw opportunity in marketing crude oil to bring volume to our system. Specifically, right now, as we think about what's going on in the next 2 months, with the [indiscernible] differential kind of blowing out, we're naturally seeing more volume come to BridgeTex. 
 That volume is up quite a bit. And it's part of the reason we're even more confident that's going to continue and confidence in increasing our guidance as we go forward. And with some of the maintenance that is coming up on certain pipelines, we haven't factored that in yet, but that gives us even more confidence that we'll see some strong volumes, crude coming out of the Permian on our system. Marketing will add to that, but that will probably be a little bit more longer term as we get later on the year. 
Theresa Chen: Got it. And going back to the AI theme, this has come up so much in recent weeks and months, but related to natural gas transmission and storage assets. And I'm just wondering if you have any early indications or thoughts on just quantitatively, what this could mean as far as the size of the EBITDA opportunity for ONEOK? 
Walter Hulse: Well, first of all, I think you've got to look at the size that we currently are making $6.175 billion in EBITDA. And I think you've got to look to see what kind of pace it's at. I think it's really just too early to tell. 
Operator: Our next question comes from Sunil Sibal with Seaport Global Securities. 
Sunil Sibal: So I just wanted to understand a little bit on the growth prospects. When you think about beyond the projects, which are kind of get completed in the first half of 2025, so I was curious how would you put your growth opportunity beyond that in the 4 business buckets that you have, and then on the same line, how have your hurdle rates changed, if any, in the current environment versus the environment we had a couple of years back in terms of interest rates, et cetera? 
Sheridan Swords: This is Sheridan, again. On growth projects, we are continuing to, on the synergy side, continuing to see low capital/high multiple type growth projects that we are baking in as we continue to go forward. They're coming all the time. We get more and more of them, but they're kind of factored into our overall capital plan already. [indiscernible] that we would capture this. But we continue to get more excited about that growth that we see different growth projects as it relates to synergies and bringing them together. 
Michael Blum: Okay. 
Charles Kelley: I think as you were asking, I think what you're asking about the interest rates. We aren't a company that relies heavily on short-term debt. All of our debt has termed out. And we have cash called the last 3 bonds that we had matured. And we've said that we expect that, that will probably be the case later this year that we would go down that path. So occasionally, we're in and out of the CP market to cover month-to-month type of things. But our business is generating cash flow to be self-contained, and so we don't see any real impact from higher rates going forward. 
Sunil Sibal: Okay. Understood. And then one kind of operational one for me. It seems like in Permian, NGL volumes were a little bit weak sequentially. And I was curious [indiscernible] toward the end of weather issues there. And then in terms [indiscernible] expansion, if you could update us on the contracting there? 
Sheridan Swords: Yes, on the Permian [indiscernible] sequential in the Permian is really weather. We had the impact of weather out there. And one thing we noticed in the Permian, they're not used to weather. And any time they get any kind of weather, it takes them a little bit more to get back up and going. So we saw some weather impact the first quarter and it was a big reason for the volume decrease. As we think about contracting going forward on our West Texas pipeline expansion, it is going as we had planned. We continue to contract more volume on that. 
 We are right where we think we need to be as we continue to go forward. We are going to continue to leverage that into the future for more plant connects and to feed or transportation and fractionation business. As we have said earlier, we already have contracted 2 plants that will be coming on this year. We have another one that's expanding. And recently, we've actually signed up some more people as well to bring more volume onto the system. So like I said, we are very comfortable where we are with the contracting on that system today on that expansion. And the expansion is on time, on budget, coming up in the first quarter of 2025. 
Operator: Our next question comes from Neil Mehta with Bank of America. 
Neil Mehta: I had a couple of questions on the guidance increase. So first, it seemed like the [indiscernible] rate was $1.21 an Mcf, which was a little bit higher than the high end of the range of $1.15 to $1.20, which is the guidance. Is that something that we should roll forward? Or is that something that occurred with maybe [indiscernible] in the first quarter. And then second on that part, should we expect kind of a linear increase in volumes in the Bakken? Or should we expect another weather downturn in 4Q in terms of your budgeting? 
Sheridan Swords: Neil, this is Sheridan. The first thing on your increase on the earnings on the fee rate. A lot of that is driven by our inflationary escalators that are coming in. And to a lesser extent, volume coming from certain customers that may have a different fee structure in there. And yes, we do think that will continue going forward, that fee rate. On the volume cadence coming out of the Bakken, it can be a little bit lumpy as we bring on compressor units and everything else. 
 We'll sometimes will have some big volume coming in. We do always budget for winter weather in the fourth quarter and the first quarter. But as you saw in '23, the fourth quarter did not have any weather and all the weather showed up in the first quarter. But we spread it out over the 2 quarters in a budgeting standpoint, but we know it doesn't all show up evenly across those quarters. It usually concentrates in 1 quarter or the other. 
Neil Mehta: Got it. And then I wanted to clarify on the AI theme. I know this is still very early innings. But curious, I wanted to follow back up on kind of the opportunity you see there in North Dakota with the advantageous weather temperatures, et cetera. Are you seeing opportunities from the wellhead to move lines to CCGTs or more so from CCGTs to data centers? And is this kind of geographically concentrated with your opportunities within your NGL footprint in the Bakken? Or are you seeing things outside of the Bakken and perhaps the Permian and Mid-Con as well? 
Walter Hulse: Well, first of all, you're not going to take it out of the well hit because the GPM or the gallons per thousand of liquids that's associated with that gas is just too high to tie it in back there. So you're going to need to get downstream of a plant. And I would also tell you that that's a theoretical scenario at this point, and that's something that we'll be exploring in the future with multiple different players. It could happen in any one of our basins. It's just that it's a little more advantageous where you can locate one of these things where you get some really good kind of lower natural gas prices. 
 And you got a lot of natural gas supply and the weather actually is colder, you have more kind of heating degree days. So therefore, it lessens the cooling load that you're meeting on these AI facilities. So the thing I would probably say again about AI, more to come. We'll have more updates on these in the coming quarters. But again, I don't think it's necessarily going to be material in the short term. 
Operator: Our next question comes from Keith Stanley with Wolfe Research. 
Keith Stanley: First, just a follow-up to Neil's question, but on the Rocky's NGL bundled rate, that was up nicely to $0.30 in Q1. What drove that higher? And is that a good run rate for the balance of the year? 
Sheridan Swords: What drove that -- Keith, this is Sheridan. What drove that rate is less incentivized ethane that came out, so that rate is going to depend a lot on how much incentivized ethane we come out because obviously, we're bringing that out at a lower rate. But that $0.28 to $0.30 is going to be -- maybe even a little higher than that, depending if we get volume continue to ramp up and we have to manage capacity on Elk Creek through backing out of ethane for C3+, you could see it go a little bit higher there, but it's going to be in that range. 
Keith Stanley: Okay. Great. Second question just on going back to Saddlehorn, but are you optimistic that you could find other bolt-on type opportunities like that over the course of the next year, or was that more of a one-off with Western's process? I noticed you didn't list acquisitions as part of the capital allocation priorities in your remarks? 
Pierce Norton: So this is Pierce. What I would tell you is we're always looking for opportunities to expand our footprint out there. That's one of the things that we look at. As far as M&A goes, we continue to be focused and actually very pleased with the integration as it's related to Magellan. So at this time, our -- that is our organization's primary focus is on the integration of what we just acquired last year. I'd say that future M&A will be the same as it always has been here at ONEOK. We're going to be intentional and disciplined about what we look at. 
Operator: Our next question comes from Neil Dingmann with Truist Securities. 
Neal Dingmann: Good morning. Thanks for the time. My first question, just looking at your NGL [indiscernible] throughput on the raw volumes there. I'm just wondering, it looks like the range is a little wider in this run. Could you discuss some drivers behind that and how this is shaping up sort of year-to-date so far? 
Sheridan Swords: Neil, could you repeat that question one more time? 
Neal Dingmann: Just looking at the -- I'm looking specifically at Slide 8 around that NGL [indiscernible] throughput volumes and just sort of looking on expectations behind '24. And it's not terribly Y, but just wondering what would cause that to trend towards the higher side and how that's looking sort of year-to-date? 
Unknown Executive: On our raw NGL volumes. One of the big things on the raw feed NGL volumes that's going to make it go up is ethane recovery. And we've come out and said that we're going to have -- naturally the rockies is going to be in rejection, but we're going to have opportunities to incentivize that. And I also said we're going to manage our capacity in our pipeline at Elk Creek until we get the expansion on, is up more to the high end of its capacity. Then you have the Mid-Continent, where we have said that's going to be kind of in and out of ethane recovery. So is that more -- we have the opportunity to -- as prices spreads stay wide like they kind of are today, we'll see more ethane throughout the year come out, which will drive that up, your raw fleet throughput up. 
 And then out of the Permian, we've always said that's going to be in full ethane recovery from here on now. So the biggest one is going to be ethane recovery. Obviously, we are seeing we've talked about volume in the Bakken that looks really, really good. We're also seeing plentiful of rigs in the Mid-Continent drilling in different areas in some of the oil-rich areas, some very high GPM areas, that as we go through this year, we're cautiously optimistic that we're going to see really good growth there as well. So those are some of the areas we see could push it to the high end, but definitely ethane recoveries, the biggest swing here in 2024. 
Neal Dingmann: Very helpful. And then just a second question on your natural gas pipeline earnings, I'm just wondering, part I saw of the sequential increase was driven by that earnings was driven by the higher natural gas sales volumes previously held in inventory. I'm just wondering, is that something you anticipate to continue to see potential upside from these incremental volumes in inventory? I mean is there -- is that more to come, or what should we think about with other volumes around associated around that? 
Charles Kelley: Yes, Neil, this is Chuck. Seasonality, obviously, the prices are higher in Q1. So when we set up our Bridge Town  each calendar year, we look at our portfolio of equity gas and choose where we're going to -- what months we're going to sell that in and try and optimize our value there. So that was part of our plan going into Q1. Obviously, you've seen gas prices fall here in Q2, so you've got seasonality at work. So we'll just be -- throughout the summer, we see electric generation pick up, and we'll see prices spike, we may sell into some of that. And then again, we may still into be seasonal back to the winter months next year. 
Operator: Our next question comes from Craig Shere with Tuohy Brothers.
 Sheridan, back to that $0.20 to $0.30 Williston NGL bundled rates question and this issue of incented ethane recovery. Are you seeing the spread of ethane discounts required to incent recovery less than historical to the degree that we ramp up ethane. Do you see that having relative to history, less of an impact? 
Sheridan Swords: Craig, what I'd say right now is we -- in the incentivized ethane that we've done so far this year, it has been at or maybe a little bit above what we've done, what you'd say more as a run rate in the past. A lot depends on not just the price of ethane, which we have good demand for ethane on the Gulf Coast, but also what the price of natural gas is in the Bakken. And so you got to look at the spread between those 2. But so far, we have been very pleased with what we've been able to incentivized ethane in it. 
Craig Shere: Got you. And just to finish off, do you see prospects for ethane being tailwinds year-over-year even into 2025? And separately around the Conway to Mont Belvieu basis spreads, that seems to have contracted last couple of quarters. Do you see that stuck in the doldrums for a while? 
Sheridan Swords: Well, I take the last one. On the Conway to Belvieu spread. That has -- actually, we have had opportunities. If you look at the average through the month, it may be [indiscernible] we've had some opportunities to lock in some fairly good spreads. And our system is set up that we can lock in by component Conway to Belvieu or Belvieu to Conway. We can lock both of those in as we go forward. We've been happy where the spreads have been at this time. Obviously, we'd always like them to be a little bit wider, but we've been able to take advantage of them. 
 They're not going to get as wide as we saw in a long time ago where they were double digits, not going to get there because there's still plenty of capacity to move product in between the 2 basins. But I think they're going to be at an acceptable range that we are going to be able to meet what our expectations are in our guidance or even exceed it. 
Craig Shere: And I'm sorry, what did you say about thoughts about ethane into next year? 
Sheridan Swords: I think as we go into next year, what you're doing is you -- we're continuing to have the ability to recover more ethane as production continues to grow in all basins. You will -- we're kind of waiting for the incremental ethane exports coming online that we'll see some coming on next year and '25 in the year after that. And so [indiscernible] are running. And right now, with this Y crude-to-gas ratio that you're seeing on a global scale that puts the United States ethane, petrochemical ethane crackers at a huge advantage that we're going to see them continue to try to run as hard as they can. 
 So I think you'll see the strength [indiscernible] will be running harder, but you will see a little bit more ethane coming out due to more production. We still, as we get going to how we set up our system, we still see that the Bakken is going to be an area that we will be able to incentivize ethane out at a nice rate to be able to bring it into the stack wherever that stack even if we have more volume coming out of the Mid-Continent or the Permian, we still think we can fit the Bakken in there at a nice rate. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Andrew Ziola for any closing remarks. 
Andrew Ziola: All right. Well, thank you, everyone. Our quiet period for the second quarter starts when we close our books in July and extends until we release earnings in early August. We'll provide details for that conference call at a later date. Thank you again, and have a great day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.